Operator: Good afternoon, and thank you for standing by. Welcome to Western Digital Second Quarter Financial Results for Fiscal Year 2015. [Operator Instructions] As a reminder, this call is being recorded. Now I will turn the call over to Mr. Bob Blair. Sir, you may begin. 
Bob Blair: Thank you. As we begin, I want to mention that we will be making forward-looking statements in our comments and in response to your questions concerning, among other topics, our position and opportunities in the growth of data and the storage ecosystem; the growth areas in storage, our investment focus, our product offerings and our customers' responses to our product offerings; and demand outlook and our financial performance, including our financial results, expectations for the March quarter. These forward-looking statements are based on management's current expectations and are subject to risks and uncertainties that could cause actual results to differ materially, including those listed in our 10-Q filed with the SEC on November 4, 2014, and those listed in our registration statement on Form S-3 filed with the SEC on November 5, 2014. We undertake no obligation to update our forward-looking statements to reflect new information or events.
 In addition, references will be made during this call to non-GAAP financial measures, reconciliations of the differences between the historical non-GAAP measures we provide during this call to the comparable GAAP financial measures are included in the quarterly fact sheet posted in the Investor Relations section of our website. The non-GAAP forward-looking guidance we provide during this call excludes amortization of intangibles related to the acquisitions of HGST, sTec, VeloBit and Virident, and employee termination, asset impairment, litigation-related and other charges. Because we currently cannot quantify future amounts for those excluded items, we are unable to provide guidance for or a reconciliation to the most directly comparable non-GAAP financial measures. The impact of these excluded items may cause the estimated non-GAAP financial measures to differ materially from the comparable GAAP financial measures.
 [Operator Instructions]. I also want to note that copies of remarks from today's call by Steve Milligan and Olivier Leonetti will be available on the Investor section of Western Digital's website immediately following the conclusion of this call. And I now turn the call over to President and CEO, Steve Milligan. 
Stephen Milligan: Good afternoon, and thank you for joining us. After my opening remarks, Olivier Leonetti will provide additional commentary on our December quarter performance and our outlook for the March quarter.
 I am pleased with our financial results in the December quarter. We achieved strong revenue, gross margin and earnings performance. We also generated significant cash flow from operations in the quarter, excluding the impact of the Seagate arbitration award.
 The diversified nature of our business, together with ongoing secular growth in data and crisp execution by our HGST and WD subsidiaries, continued to enable us to consistently deliver strong financial performance. Market dynamics in the December quarter were in line with our expectations.
 In our business, we saw a particular strength and demand for capacity enterprise and video surveillance hard drives and for Enterprise SSDs. As anticipated, there was a seasonal demand uptick for branded products.
 We expect ongoing hyperscale cloud deployments, coupled with our expanding product portfolio and customer engagement model, to continue fueling our growth and capacity enterprise for the foreseeable future. Petabyte growth in this category is expected to remain strong. Our Flash Platform Solutions business, which includes our expanding portfolio of enterprise class SSDs, maintained its growth trajectory in the quarter, delivering revenue of $187 million.
 The demand outlook for the March quarter reflects a normal seasonal decline with moderation in client, branded products and performance enterprise with stable demand in capacity enterprise. We believe overall supply and demand and associated inventory levels remain balanced.
 I continue to be encouraged by the ongoing stabilization of the PC market where demand has been in line with our expectations. Furthermore, I am encouraged by the market's response to our strategic growth initiatives, which we believe position the company to thrive in the evolving data storage ecosystem.
 We have strengthened our value proposition by enhancing our technical expertise, expanding our product portfolio and investing in our go-to-market capabilities. We will continue to prudently evaluate investment opportunities to advance these initiatives.
 We gained traction in key markets during the December quarter. Our broad lineup of high-capacity hard drives, including those based on our proprietary HelioSeal platform continued to be embraced by both traditional enterprise and hyperscale data center customers. We continue to invest in high-growth vertical market applications. Specifically, we have seen strong customer acceptance of our WD Purple hard drives in the security surveillance market. We launched the 6-terabyte model in the December quarter that has been well received by customers. We expect strong ongoing growth in this space, given the rapid adoption of digital video cameras and security surveillance systems worldwide.
 There continues to be strong growth momentum in branded with our portfolio of My Cloud solutions addressing both the consumer and pro-sumer markets. The My Cloud software and apps have now been downloaded by more than 4 million users worldwide.
 We are engaged with customers and partners on our recently announced Active Archive platform. Proof-of-concept systems are up and running, and initial customer feedback has been positive. This new category of storage solution will feature high-density petascale capacities in a single rack, and deliver entirely new levels of storage efficiency and value. And as a reminder, we expect revenue growth from our Flash Platform's business to outpace that of the industry.
 Before turning it over to Olivier, I would like thank and recognize our employees worldwide for helping to deliver a strong second quarter. Our consistent financial performance is a testament to the strength of our team, a well-diversified business, leading products and a customer-centric engagement model. Olivier? 
Olivier Leonetti: Thank you, Steve. Expected seasonal demand and consistent execution helped us exceed financial expectations in the December quarter. Industry shipments were in line with the TAM implied in our guidance provided in October. In our business, we saw a continued strength in capacity enterprise, the anticipated seasonal increase in branded products as well as continued steady demand in performance enterprise.
 Aggregated channel inventories of Western Digital products remain within our 4- to 6-week range. Our revenue for the December quarter was $3.9 billion. This included $187 million in revenue related to our Flash Platform Solutions group.
 We shipped a total of 61 million hard drives at an average selling price of $60. The quarter-over-quarter increase in overall LSP was driven by strength in capacity enterprise, surveillance, along with the seasonal improvement in client and branded products.
 Our gross margin was 29.1%. Our non-GAAP gross margin was 30.5%, which is better than our implied guidance due to business mix. This excludes $55 million of amortization of intangibles and other non-recurring charges.
 Operating expenses totaled $644 million. Our non-GAAP operating expenses were $620 million, excluding amortization of intangibles, restructuring charges and the flood insurance recovery. Expenses were higher than our implied guidance due to incentive compensation and stock appreciation rights.
 Tax expense for the December quarter was $20 million or 4% of pretax income. The tax rate reflects the retroactive extension of the U.S. Federal R&D tax credit that was signed into law during the December quarter.
 Our net income totaled $460 million or $1.93 per share. On a non-GAAP basis, net income was $539 million or $2.26 per share. This includes the $0.07 per share tax benefit from the R&D tax credit.
 Turning to the balance sheet. In the December quarter, we generated $243 million in cash from operations and a free cash flow -- and our free cash flow totaled $97 million. As a reminder, we paid a total of $773 million related to an arbitration award in the December quarter.
 Our CapEx totaled $146 million or 4% of revenue. We repurchased 3.2 million shares for $309 million. We also declared a dividend in the amount of $0.40 per share.
 We closed Q2 with total cash and cash equivalents of $4.9 billion, of which approximately $1.4 billion was held in the U.S.
 I will now provide guidance for the March quarter. We expect revenue to be in the range of $3.6 billion to $3.7 billion; gross margin percentage roughly flat with our Q2 performance, excluding the amortization of intangibles; R&D and SG&A spending of approximately $610 million, excluding the amortization of intangibles; the tax rate of approximately 7.5%; and the share count of approximately 237 million.
 Accordingly, we estimate non-GAAP earnings per share of between $1.90 and $2.00 for the March quarter. Operator, we are now ready to open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Amit Daryanani with RBC Capital Markets. 
Amit Daryanani: I guess, just 2 questions and I guess a follow-up here. First of all, can you just talk on the pricing dynamic that you guys are seeing in this quarter and potentially in the March quarter? One of your peers reported a couple of days ago and they talked extensively about pricing concerns starting to creep up. So I'm curious what you guys are seeing. What do you guys are expecting as you go forward? 
Stephen Milligan: Yes, so if you look at -- and this is Steve. If you look at our fiscal Q2, so the quarter we just finished, and that's consistent with my commentary, we saw nothing unusual from a pricing perspective versus our expectations. And we see nothing unusual this quarter from a pricing perspective. So what I would say is that pricing behavior and price levels are just simply consistent with our expectations. 
Amit Daryanani: Got it. And if I can just follow up on MOFCOM. You guys issued a press release in December talking about the letter you guys received and the rectification you're doing. Is there any update on that as you go forward? Is there a timeline that we'd start to think about given the fact that you had the update in December? 
Stephen Milligan: Yes. So let me review where we're at. We did announce recently that there were a couple of compliance issues that we had that were resolved with MOFCOM. We were pleased to get those issues behind us. We also indicated that given the resolution of those issues, MOFCOM is now fully focused on reviewing our application. Those issues needed to get resolved before MOFCOM begin the formal evaluation of our application. They have hold separate lifted. That is in process and ongoing. And as I've indicated before, our relationship and dialogue with MOFCOM is consistent and constructive. But at this point, I can't provide any update as to the timing as to when MOFCOM will provide any sort of ruling. But we're working with them in a constructive fashion and we'll continue to do so. 
Operator: The next question comes from Rich Kugele with Needham & Company. 
Richard Kugele: A couple of questions. First, can you just talk about the capacity enterprise segment and your ability to ship especially given some of the data center buildout plans as calendar '15 unfolds? 
Stephen Milligan: Sure. So yes, we, this past quarter, saw good demand for our products, for capacity enterprise products, particularly from hyperscale customers. We expect that to continue. In the last call, I talked about having good visibility to the middle part of calendar 2015. That statement remains valid. Really, what we're seeing is we're seeing meaningful growth in terms of petabyte deployments on behalf of our customers. We expect that to continue through the balance of calendar 2015. How that translates to a unit performance perspective is a little bit unknown at this point. It will vary depending upon the capacity point that is shipped as the industry transitions initially from a 4-terabyte drive to a 6-terabyte drive; and then eventually, at least for us, to an 8-terabyte deployment. But we are confident that we're going to continue to see strong petabyte growth for our business and for the industry in the capacity enterprise space. 
Richard Kugele: And you're comfortable with your component supply and ability to go and hit those demands? 
Stephen Milligan: Well, I mean, there's a little bit of a qualification. It's a kind of a yes and no answer, Rich. Supply is tight. We're comfortable with where we're at, but it's tight. And so we're watching that closely. And so these things -- they use a lot of heads and discs, a lot of test time. And so we've got to be watching that closely. But right now, relative to our expectations, we're comfortable with where we're at. But if we see more variability from an upside perspective, which is obviously possible, we could have -- we could run into some supply challenges. 
Richard Kugele: Okay. And then I'll ask an obligatory TAM question. In the December quarter, obviously, 141 million, lighter than what your competitor was talking about, but not too surprising. When you look at normal seasonality, how would you look at the March quarter? What should we be expecting? 
Stephen Milligan: Yes. So to reiterate when I talk about in terms of my comments, and I know that there were some analysts had different numbers out there, but the TAM for the December quarter pretty much turned out the way that we expected. So a TAM -- and we'll see what numbers Toshiba publishes, but a TAM in the 141 million unit range was very consistent with the expectations that we had going into the quarter. I would say that if you want to call it a surprise, the mix might have been a little bit better than what we thought and therefore, you see a bit higher revenue for us and resulting margin benefit associated with that. If we look at where we think the TAM will shake out in March, I think, something in that mid-130 million range is kind of a reasonable assumption. 
Operator: The next question comes from Aaron Rakers with Stifel. 
Aaron Rakers: I do have a follow-up as well. Going back on the enterprise business, can you talk a little bit about the competitive landscape? When we look at the numbers and look at what some of your component suppliers have reported, it would appear that Toshiba saw a pretty healthy quarter in enterprise shipments. So can you talk about seeing Toshiba being at all a disrupter and going after some of those high-capacity deals? And if not, whether you think that changes on a going-forward basis? 
Stephen Milligan: We didn't see anything unusual in that regard. If we look at what happened in terms of our enterprise shipments, and I'm sort of using rough numbers here, I think our units increased on a quarter-on-quarter basis, about 300,000 units. And a bit of that was capacity enterprise, a bit of that was performance enterprise. If you recall, one of the things that we were focused on from a performance enterprise perspective was to continue to broaden our product portfolio so that we had full coverage from a market perspective. We began shipping our 15K small form factor drive, which allowed us to pick up some incremental business in the performance enterprise space. And with our strong portfolio and position in the capacity enterprise business, we were able to increase our business a bit there. We believe, although we'll have to see how the final numbers shake out, that we maybe gained a little bit of share in that space. And so we're, obviously, pleased with that from a customer, call it, satisfaction perspective. But we did not see anything from a competitive dynamic perspective in that space that was unusual or shall we say, alarming from our perspective. 
Aaron Rakers: Okay. And as a follow-up, maybe a higher level question, but when you guys think about your capital structure and kind of the return of cash going forward, your closest competitor raised a very impressive 20-year note in this latest quarter. How are you guys thinking about your return of capital and cash? And in particular, how you guys think about the dividend trajectory on a going-forward basis, obviously, in the context of the U.S. held cash? 
Olivier Leonetti: So let me take this question. So we are always evaluating the way we deploy our capital, and we believe that the current allocation is probably a good balance between short-term management and long-term investments, prudent long-term investments in the business. And at this stage, we have no particular plan to change the current capital allocation but again, under evaluation all the time. To answer to your question, specifically, about U.S. cash and how that is a constraint, we have a fair amount of liquidity in U.S. through our cash balances, $1.4 billion at this stage; but also a debt capacity, which is quite high as well. Our leverage ratio is in the range of 4.7x, and as you know. So we can sustain our current allocation for at least 4 years or more. 
Stephen Milligan: So one thing just to add to that is that we -- the key thing is, is that we're focused on longer-term value creation and making sure that we have a capital structure that enables us to do that. And obviously, the dynamics that influence that, our needs for cash, uses of cash, all of that, but it's centered fundamentally on what do we need to do as a business to make sure that we are creating a long-term value for ourselves and our shareholders going forward. 
Operator: Next question comes from Keith Bachman with Bank of Montreal. 
Keith Bachman: I had 2 as well. Steve, I want to start with you. You indicated that pricing was consistent with your views. I wonder if you could flush it out a little more. What were like-for-like pricing, either in December quarter and/or what are you expecting in the March quarter? And against that trajectory, are the near-line or enterprise performance drives deviating from the overall pattern associated with the rest of your product portfolio? 
Stephen Milligan: As an overall statement, Keith, we have been seeing, I would call it, low -- more or less, low single-digit price declines like-for-like. And really, that's been holding more or less, I'll call it, constant or consistent on a relative basis over the last few quarters. And so frankly, we just did not see anything -- now, let me qualify, there's always pockets -- this is a competitive business. There's always pockets where pricing in this segment might be doing something a little bit unusual in here and there. But we did not see anything unusual from a pricing perspective, either last quarter or we're not seeing anything unusual in terms of the March quarter period. 
Keith Bachman: Okay. But within that, just if you could flush out, is near line -- does that also embrace the near-line product portfolio that you're not seeing anything outside of that kind of low single-digit sequential declines? 
Stephen Milligan: Well, near line is a little bit different in the sense that -- but this again is not a change. I mean, the first thing is, is that there's a fair amount of margin on those products. We're also introducing higher capacity points in those products, 6-terabyte, I mean, preceded by a 4-terabyte. You're going to see declines for those capacity points that exceed the overall average but that's not anything unusual. And when it gets introduced, it may be in limited supply as it begins to -- as the supply begins to increase and you see greater customer acceptance of that. And as we come down the cost curve, the price declines tend to be steeper. But that, that is nothing at all unusual. 
Keith Bachman: Okay. And then Steve, I wondered as my follow-up question, if you wanted to provide your views. If the TAM comes out to a mid-130s as you said for the March quarter, how are you thinking about the TAM as you look out, particularly, with -- relates to PC clients. There's, I'm sure you're aware, a lot of consternation associated with what the PC market can deliver this year. I wondered if you could just provide some high-level views as you look out over the next couple of quarters on the HGST TAM and/or the PC client TAM, and that's it for me. 
Stephen Milligan: Sure. We would expect, at present, and of course, our expectations can change, that the March quarter will be the low point for the year. So at this point, for the June quarter, we think that we could see either a flat to maybe slightly up TAM in the June quarter. We'll, obviously, update our expectations for that as we move through the quarter. And then, obviously, as we move through the back half of the calendar year, where we get help from a seasonality perspective, we would expect to see the TAM increase from there. 
Operator: The next question comes from James Kisner of Jefferies LLC. 
James Kisner: I guess, I just wanted to really sort of press more on the PC market or the client market. Your competitor went -- ventured, I guess, what the overall growth here might be for the year for client units. I think they said low single digits. Would you guys sort of agree with that? Do you have any view? 
Stephen Milligan: We have consistently indicated that we expect that PC sales will -- well, let me backup. What's been happening is, is that we've been seeing low single-digit decline on a year-on-year basis in the PC space. That's been consistent with our expectations. And we would expect that going forward that we'll continue to see that. As that relates to hard drive shipments into the PC segment, we also have to contemplate the fact that more and more client units are using solid-state devices versus rotating magnetic storage. And so our -- we will see more of a drag than that low single digit in terms of hard drives shipped into the PC market. And so that's very consistent with what we've been saying for the last several quarters and very consistent with our expectations. 
James Kisner: And the quick follow-up, just could you update us on the uptick of Helium? Is it -- did it contribute at all to the ASPs? Or just is it not a material factor there? 
Stephen Milligan: Yes, so relative to Helium, let me kind of broaden that a little bit. Clearly, part of the reason that we saw uptick in terms of our ASPs and also our margins was due to the strength in our capacity enterprise business, of which Helium is a part of that. Helium, as an individual category, particularly as it relates to the 6-terabyte drive, probably did not have a material impact. We believe that as we transition to the 8-terabyte platform with the Helium product, we'll begin to see a bit of a larger impact. 
Operator: The next question comes from Sherri Scribner of Deutsche Bank. 
Sherri Scribner: I was hoping to get a little more detail on the surveillance market. You called it out as being strong this quarter. Can you give us a little more detail on the magnitude of that market and where it's represented in your unit numbers? 
Stephen Milligan: Yes. Well, is it in the consumer electronics numbers? So our CE line on our data sheet is where the surveillance drives are contained, Sherri. And it's a market that we expect will grow in low single digit kind of growth rates. And so it's an expanding area. I mean, obviously, we've seen some of the news and the impact of that. And so it's a good market for us, and it also carries a gross margin profile that is above the overall corporate average. 
Sherri Scribner: Okay, great. And then just thinking about the Enterprise SSD market, that business looks like it was up 20% for you guys year-over-year. What types of growth expectations do you have for that segment going forward? 
Olivier Leonetti: Yes. We had a very large order Q2 last year. If you look at the sequential, it's pretty strong. And we, as we have indicated that we'll expect to grow faster than the market, and the market is expected to grow at about 40%, and we're staying behind that trajectory. 
Operator: The next question comes from Katy Huberty with Morgan Stanley. 
Kathryn Huberty: How are you thinking about any risk of cloud vendors, either catching up with demand or getting through their investment cycle and some more lumpiness as we go into the back half? Is there any visibility or high-level thoughts on whether we could see lumpiness further out in that market? Then I have a follow-up. 
Stephen Milligan: Yes, Katy, that's something that we keep a close eye on. We're seeing, as I indicated, strong growth from a petabyte perspective. When we talk to our customers and they talk about what's happening from what they're seeing, they expect that petabyte growth to continue. But at times, they can be a little bit unpredictable in terms of their order flow, and we saw that last year. So we feel pretty comfortable with where we're at right now. But it's something that we monitor pretty closely. But we're confident that overall data growth will continue to be very strong, it's just a matter of how the storage gets deployed against that where sometimes the lumpiness can potentially come in. 
Kathryn Huberty: Okay. And then Seagate is talking about turning over their entire product portfolio this calendar year. Is that something that impacts your OpEx? And if not, do you view yourself at any advantage or disadvantage as they go through that cycle? 
Stephen Milligan: We are not expecting there to be any abnormal increase, I guess, I'd say in terms of our operating expense as it relates to product deployments. I mean, we're continuing to invest in some of these new growth initiatives, but that's different than refreshing our base hard drive product set. So we would not expect that we would see, call it, a surge in our operating expenses as it relates to that. And we continue to expect that we're going to have a competitive product lineup to match up against our competitors. 
Operator: The next question comes from Joe Yoo of Citi Research. 
Joe Yoo: Steve, and I apologize that I'm asking another pricing question, but I was wondering if you had any thoughts on the weakness of the yen and its potential impact to hard drive pricing? And did it have any impact to your pricing strategy? Or do you think that maybe it affected Toshiba's behavior? 
Stephen Milligan: Well, that would be speculative, I don't know. And so it's a question that ultimately would need to be directed to Toshiba to get a more specific question. I would reiterate really one thing, and that relative to what we saw from a competitive dynamic perspective, we didn't really see anything that was particularly out of the ordinary. The other thing I'd add, which is just kind of an anecdotal comment, I was at Hitachi and the CEO there, and yen movements did not impact at all anything that we did. But I don't know how it impacts Toshiba. 
Joe Yoo: Great. And my follow-up is on the Flash Platform Solution, can you provide some tangible factors that give you the confidence that you can grow above the market? 
Stephen Milligan: Well, let me take the most tangible factor is we have been growing faster than the market. So I think that history is probably the thing that gives the most tangible proof of that. The other thing is, is that we have a product roadmap that we're focused on, that has been discussed and shared with our customers. We're sampling some new products with our customers. We're getting positive feedback. And so as we go through the development process and we go through, call it, the prequalification process with our customers, our confidence and our ability to grow faster than the market just continues to be solid. 
Operator: The next question from Ananda Baruah with Brean Capital. 
Ananda Baruah: Two, if I could. Steve, I'd love to get your view on the need for the industry margin structure to continue to rise as, I guess, as you talked about cloud demand in hyperscale picks up as the, I guess, as the supply environment there tends to tighten up, so the impact that, that could have onto sort of your ability to ship to overall TAM. I would love to get your thoughts there. And then I have a follow-up as well. 
Stephen Milligan: So let me sort of take that question in a different question rather than me speculating on where the industry margins go. Let me talk about the things that are impacting our business. What's fundamentally happening from our standpoint is that the secular forces, if you want to refer to it that way, are basically -- what's increasing is those elements of our business that carry higher margins. So we have a tailwind in effect that is pushing us to higher margin opportunities. Also the things that we're investing in, these strategic growth initiatives, generally speaking, carry higher margins. Right now, 58% of our business is "non-PC". And we know and we've said this in the past that the PC market is more price sensitive and there's less ability to differentiate, and accordingly those products, carry lower margin profiles. But as our revenue increases in the non-PC segment, generally carrying higher margins, we have a bias over time for our gross margins increasing as opposed to decreasing over time. That being said, we continue to have a stated gross margin range of 27% and 32%. But as these things continue to evolve, we'll look at whether or not we need to reevaluate that gross margin range. 
Ananda Baruah: Got it. That's really helpful, I appreciate it. And just as my follow-up, quickly, do you believe that the TAM has a chance to grow in 2015 over 2014? 
Stephen Milligan: We believe that we'll see low single-digit growth from an overall TAM perspective. 
Operator: The next question comes from Steve Fox of Cross Research. 
Steven Fox: Steve, just going back over the pricing one more time. I understand what you're talking about, just typical pricing patterns, especially as you go up to higher capacities. It seems like your competitor is saying that the typical pricing shouldn't apply because of the rising complexities and the tighter components and just the overall cost of capacity. Can you just sort of react to that statement as to whether there is the potential for the industry to change in terms of how it looks at pricing as you go from, say, 4- to 6- to 8-terabyte products? 
Stephen Milligan: Well, it's kind of difficult for me to comment on that specifically. I mean, the bottom line to it is, is that I'm going to repeat 2 things, and that pricing was consistent with our expectations. And at the end of the day, in order for us to be able to do what we need to do, we have to have pricing that's competitive with the industry. Whatever that means in terms of what price declines are is whatever it means. But at the end of the day, we did not see anything particularly unusual, and remember that the margins in that business carry higher margins. I mean, we're comfortable in general with where we're positioned in that regard. 
Steven Fox: Fair enough, it was worth a shot. And then just as a quick follow-up. Your average capacity was up 24% year-over-year. Obviously, some of that or a lot of that was driven by the enterprise capacity drives. But can you sort of dissect that a little bit further and talk about how average capacity looks year-over-year in some of your other products? 
Olivier Leonetti: I mean, we could. Obviously, as Steve indicated, we saw a big increase year-on-year in exabyte in the capacity enterprise. If I look at the rest of the business, performance enterprise growing low single digits and the rest would be pretty much stable year-on-year. 
Stephen Milligan: And so we're kind of tying it back to the point that I was making earlier, as more and more of our business is deployed against non-PC applications, generally speaking, those are higher mix products, whether it be branded products, it be surveillance, it be on the enterprise space. So as our mix transitions from an overall business perspective, we're going to get a nice bump in terms of the average capacity point shipped. 
Operator: The next question comes from Joe Wittine of Longbow Research. 
Joseph Wittine: Steve, you acknowledged hard drives will lose share within the PC category, and we've kind of seen that accelerate exiting the year. So kind of assuming your expectations of low single-digit declines for PCs, is the current trajectory in your client units, which is down 7% or 8% on a year-over-year basis, is that a good kind of guesstimate or barometer going forward of what the trajectory will be? 
Stephen Milligan: Well, we expect -- well, we anticipate -- again, we'll see what Toshiba publishes, that we lost a little bit of share in the notebook space. And that was primarily because -- which has kind of happened over the last couple of quarters. Some of that may have a little bit to do with gaming and then also that's where margins tend to be lower. And so that may be some of the area where we just choose to not participate in some of the business. So I would say that, that decline is steeper than what the industry is seeing. 
Operator: The last question comes from Jayson Noland with Robert Baird. 
Jayson Noland: Steve, a question on the archive market. You've launched product that seems to be built specifically for that opportunity. Could you talk a little bit about traction there and what the potential is longer term? 
Stephen Milligan: Yes, as I indicated in my remarks, we've got some, I hate to call it sample units, but we've got some customer applications running in test units and that kind of thing and positive response so far. Our customers are very pleased that we actually know how to construct a subsystem for them given that we've been a component supplier for so long. And so we're encouraged, and I think it's fair to say that our customers are encouraged as well with some of the progress that we're making in that area. 
Jayson Noland: And when you guys say you'll be moving up the enterprise stack, is this an example of that? And will some of that be more obvious down the road? Or is it just mostly going to be things that happen behind the scenes? 
Stephen Milligan: Yes, this is an example of that. We're going to have to see how all of that evolves. And we will look at opportunities to intelligently move up the enterprise stack, and we'll do our best to do that, which we have done so far in a collaborative fashion with our customers. Our goal is not to compete with our customers but to figure out a better way of enabling them so that they can extend their value proposition to their customers, whether that be through other software services or other kind of offerings. So that's what our base strategy is. Any more questions? 
Operator: That was our last question. 
Stephen Milligan: All right. So thank you again for joining us today. In closing, I want to thank all of our employees and suppliers for their commitment and outstanding execution, and our customers for their continued business. Thanks so much. 
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.